Operator: Good day, and thank you for standing by. Welcome to the Gentex Corporation Reports First Quarter 2025 Financial Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your questions, please press 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Josh O'Berski, Director of Investor Relations. Please go ahead. Thank you.
Josh O'Berski: Good morning, and thank you for joining us today for our first quarter 2025 earnings conference call. I'm Josh O'Berski, Gentex Corporation Director of Investor Relations. And with me today are Steve Downing, President and CEO, Neil Boehm, COO and CTO, and Kevin Nash, Vice President of Finance and CFO. Please note that a replay of this conference call webcast and edited transcripts will be available after the call in the Investors section of our website located at ir.gentex.com. As a reminder, many of our comments today contain forward-looking statements based on current expectations. These forward-looking statements are subject to known and unknown risks, including those set forth in our first quarter 2025 earnings press release and our annual report on Form 10-Ks for the year ended 12/31/2024, as well as other general economic factors. Should one or more of these risks or uncertainties materialize, or should underlying assumptions or estimates prove incorrect, actual results may vary materially from those that we expressed today. Before we jump into our prepared remarks, I wanted to take a moment to address the upcoming annual shareholder meeting and the proxy vote. As in prior years, Glass Lewis has recommended the shareholders vote against our Nominating and Corporate Governance Committee Chair, Ms. Leslie Braun, due to a lack of female representation on our board. And so once again, we encourage shareholders to ignore Glass Lewis. In their explanatory documents, Glass Lewis claims to provide a comply or explain approach in their recommendations. In prior years, we have attempted to explain our stance by reiterating our support for Ms. Braun, who is an exemplary member of our community and our board. We have also pointed to the continuing progress Gentex Corporation has made in increasing the diversity of our board's demographic background since 2016, when Ms. Braun first joined our board. This form of explanation does not seem to have hit home with Glass Lewis, so this year, I will attempt a more direct approach. Recommending shareholders vote against a female board member is an illogical approach to increasing female representation on boards. If Glass Lewis is in fact seeking to increase diversity on boards, Glass Lewis needs to update their policy to take into consideration the Nominating and Corporate Governance Chair's gender and demographic background before recommending a vote against. Glass Lewis also noted difficulty in identifying our board's reported demographic breakout. While NASDAQ no longer requires this breakout, we continue to follow Nasdaq's prior guidelines for disclosure. As such, this information is easily found on our website in the Board of Director section at IR.Gentex.com and also included each year at the back of our annual reports. Our hope is that shareholders who use Glass Lewis' services would reach out to them to express support for this logical approach and, at the same time, continue to support Ms. Braun's role on our board. I would welcome any calls with investors who use Glass Lewis for their proxy voting recommendations, and I'm happy to clarify Gentex Corporation's position on items contained within these reports. I will now hand the call over to Steve Downing for our prepared remarks. Steve?
Steve Downing: Thanks, Josh. Deep breath. Deep breath. For the first quarter of 2025, the company reported net sales of $576.8 million compared to net sales of $590.2 million in the first quarter of last year. In the first quarter, global light vehicle production increased by 1% compared to the first quarter of last year, but decreased 3% quarter over quarter in the company's primary markets of North America, Europe, Japan, and Korea. Also during the first quarter, trim mix within the light vehicle production build weakened versus forecast across all major regions, but especially in our primary markets. The trim mix impacted take rates for several features, but especially our exterior mirror unit shipments, which were down 15% quarter over quarter in North America and 8% internationally. Overall, the weakness resulted in a sales shortfall of approximately $25 million to $30 million for the quarter. For the first quarter, the gross margin was 33.2%, compared to a gross margin of 34.3% for the first quarter of last year. Compared to the first quarter of 2024, the gross margin declined as a result of lower revenue, unfavorable product mix, and new tariff costs that began in the first quarter of this year. Sequentially, the gross margin improved by 70 basis points as a result of purchasing cost reductions and higher sales levels versus the fourth quarter of 2024. Overall, despite the lower than forecasted revenue, and the weaker than anticipated mix, our sequential margin improvement in the first quarter resulted in a solid start to this calendar year. In addition to the revenue headwinds, the gross margin was also impacted by new tariff expenses of approximately $650,000 in the quarter that were not reimbursed during the quarter. We remain committed to the cost improvement initiatives already underway and we are actively expanding this program to help identify additional efficiencies to help offset the margin pressures that are likely to be created due to the pending tariff impact. Operating expenses during the first quarter increased by 8% to $78.7 million compared to operating expenses of $72.9 million in the first quarter of last year. Total operating expenses for the first quarter of 2025 were impacted by severance-related expenses of $2.9 million versus zero severance charges in the first quarter of last year. Operating expenses are moderating in 2025, which is in line with our expectations. During the first quarter, the severance-related expenses of $2.9 million were primarily related to early retirement incentives offered to long-tenured employees. Additionally, the company incurred one-time expenses during the first quarter related to the VOXX merger of approximately $900,000. In total, the severance and merger-related expense accounted for nearly two-thirds of the quarter-over-quarter operating expense growth, which means the core expense growth was less than 3% for the quarter. Income from operations for the first quarter was $113 million compared to income from operations of $129.3 million for the first quarter of last year. Other income was $600,000 during the first quarter compared to other loss of $1.7 million in the first quarter of last year. The quarter-over-quarter change was driven by increased investment income as well as reduced losses on other investments versus the first quarter of last year. During the first quarter, the company had an effective tax rate of 16.5% compared to an effective tax rate of 0.2% during the first quarter of last year. The quarter-over-quarter change in the effective tax rate was driven by lower tax benefits on stock-based compensation compared to the first quarter of 2024. Net income for the first quarter was $94.9 million compared to net income of $108.2 million for the first quarter of last year. The change in net income for the first quarter was primarily driven by the changes in net sales and income from operations compared to the first quarter of last year. Earnings per diluted share for the first quarter were $0.42 compared to earnings per diluted share of $0.47 for the first quarter of last year. Earnings per diluted share for the first quarter were impacted by the decrease in net sales and operating income, partially offset by an increase in other income on a quarter-over-quarter basis. Thank you, and I'll hand the call over to Kevin for some further financial details.
Kevin Nash: Thank you, Steve. For the quarter, automotive net sales in the first quarter were $563.9 million compared to $577.6 million in the first quarter of last year. Auto-dimming mirror unit shipments decreased by 7% during the first quarter compared to the first quarter of last year. Other net sales in the first quarter, which includes dimmable aircraft windows, fire protection products, and medical devices, were $12.9 million compared to other net sales of $12.6 million in the first quarter of last year. Fire protection product sales were $6.7 million in the first quarter compared to $6.8 million for the first quarter of last year. Aircraft window sales were $4.9 million compared to $5.8 million for the first quarter of last year. And other net sales for the first quarter also included biometric product sales of $900,000 as well as $400,000 in sales of the Ecyte Go medical, which is in comparison to no sales for either of those products last year. Share repurchases. During the first quarter of 2025, the company repurchased 3.1 million shares of its common stock at an average price of $24.52 per share. As of March 31, 2025, the company has approximately 6.3 million shares remaining available for repurchase pursuant to previously announced share repurchase plan. The company intends to continue to repurchase additional shares of its common stock in the future in support of the previously disclosed capital allocation strategy, but share repurchases will vary from time to time and will take into account macroeconomic issues, market trends, and other factors the company deems appropriate. Shifting over to the balance sheet. The balance sheet comparisons mentioned today are as of March 31, 2025, and compared to December 31, 2024. Cash and cash equivalents were $286.6 million compared to $233.3 million. Short-term and long-term investments combined were $321.2 million, down from $361.9 million, which includes fixed income investments as well as the company's equity and cost method investments. Accounts receivable was $330.6 million, up from $295.3 million due to the size and timing of sales during the quarter. Inventories were $408.9 million, down from $436.5 million. And accounts payable decreased to $162.9 million, a decrease from $168.3 million. Looking at preliminary cash flow items for the quarter, first quarter 2025 cash flow from operations was $148.5 million compared to $129.9 million for the first quarter of last year. Capital expenditures were $36.7 million compared with $31.9 million for the first quarter of last year, and depreciation and amortization for the first quarter was $25.5 million compared with $24 million for the first quarter of 2024. I'll now hand the call over to Neil for a product update.
Neil Boehm: Thank you, Kevin. In the first quarter of 2025, there were 21 net new nameplate launches of our interior and exterior auto-dimming mirrors and electronic features. It was again a busy launch quarter with approximately 60% of these net launches being advanced feature launches. For the advanced features in the quarter, full display mirror, HomeLink, and outside auto-dimming mirrors led the way. We're pleased to announce that we are shipping a full display mirror and cameras to a forward and rearward digital video recorder to Ford on the Transit and Porneo vehicles. This is a great and challenging launch for the Gen six team since it was the first launch of the Gentex Corporation review app. The review app allows you to connect them to the mirror and download the images or recordings from the DVR to the app on your phone. A great convenience to the consumer. There remains great interest in full display in your family of products. But as the vehicle production dates and volumes are changing, we're now forecasting 2025 increases in FDM shipments over 2024 to be approximately a hundred thousand units. Looking at the remainder of 2025, we are still expecting to announce an additional new OEM customer for FDM. We continue to remain focused on how to add greater value to the full display mirror product through the addition of new feature content, new display technology, and diving deeper into the user experience. This product has been a great growth driver for us these past few years, and we continue to invest in its evolution to stay ahead of the competition. Additionally, we're excited to announce that our first driver monitoring system launched is now available and has been shipping on the Rivian R1T and R1S vehicles. For this program, Gentex Corporation packages the camera, infrared illuminators, and some local processing in the mirror, while the overall driver monitoring algorithms are contained in a different module outside the mirror. This is the first of four different launches of driver monitoring we've been discussing. The other launches are still on plan to go into production later in 2025 and into early 2026. Gentex Corporation is an excellent innovation and technology company with a strong launch pipeline of automotive and non-automotive products. Even with the market conditions we're facing today, we are still seeing strong demand for full display mirror, HomeLink, and several other new and exciting products we displayed at CES earlier this year, like large area devices. So even though there are challenges, all of the R&D we've been investing in over the past few years will help us to recover and drive growth into the future. I'll now hand the call back over to Steve for guidance and closing remarks.
Steve Downing: Thanks, Neil. The company's current forecast for light vehicle production for the second quarter of 2025 and full years 2025 and 2026 are based on the mid-April 2025 S&P Global Mobility forecast for light vehicle production in North America, Europe, Japan, Korea, and China. As a result of the current and expected tariff escalation in the China market, the company has proactively halted production of interior and exterior mirrors destined for customers in the China market. Subsequently, many of our customers based in China have canceled or paused orders at this time while we work with these customers to better understand their ability and willingness to pay the elevated prices resulting from the new tariff rates. Currently, global light vehicle production is expected to be down 2% for the second quarter of 2025 compared to the second quarter of last year, while light vehicle production in our primary markets of North America, Europe, Japan, and Korea is expected to be down approximately 6% in the second quarter of 2025 compared to the second quarter of last year. Light vehicle production estimates for 2025 in North America, Europe, Japan, and Korea have weakened significantly since the beginning of the year and is currently forecasted to decline approximately 5% compared to light vehicle production in calendar year 2024. The latest forecast for light vehicle production in North America estimates that the last three quarters of 2025 will be down approximately 11% versus the same period last year. Lastly, light vehicle production for calendar year 2026 is now forecasted to be flat in our primary markets compared to calendar year 2025. Second quarter 2025 and calendar years 2025 and 2026 forecasted light vehicle production volumes from S&P Global Mobility are shown in our press release from earlier this morning. Based on the current light vehicle production forecast, and actual results for the first three months of 2025, as well as the proactive decision of the company to halt production and sales of product intended for the China market until customer agreements can be reached, the company is making certain changes to its previously provided guidance for calendar year 2025 as follows. Revenue for the year in our primary markets is expected to be $2.1 billion and $2.2 billion. Revenue for 2025 in China is expected to be between $50 and $120 million, of which $43 million was shipped to the China market during the first quarter of this year. Gross margins for the year are expected to be between 33-34%. Operating expenses are expected to be between $30-310 million. Our estimated annual tax rate is forecasted to be between 15-17%. Capital expenditures are expected to be between $101-125 million, and depreciation and amortization is forecasted to be $85-90 million. The company's revenue guidance has been updated based on the current tariff environment and provides additional detail regarding revenue from the company's primary markets while separately identifying revenue from the China market. This additional detail regarding the company's revenue is included for the time being to allow investors to better understand the company's exposure in the China market due to the impact that tariffs are expected to have on this market. Additionally, the revenue estimates above do not include any revenue from the recently completed merger with VOXX. At this time, the company is withdrawing revenue guidance for calendar year 2026 due to the significant uncertainty surrounding the China market, as a result of the impact of incremental tariffs on company exports to China, the economic impact of import and export tariffs on the company's primary markets, and work being done to finalize a more complete financial picture of the recently completed merger with VOXX. The company anticipates providing updated revenue guidance for calendar year 2026 once there is further clarity in the overall tariff landscape. On 04/01/2025, the company closed on the strategic merger of VOXX, a global supplier of automotive and consumer electronics, as well as premium audio equipment. As of April 1, the company expected to add between $325 and $375 million in revenue from the merger on an annualized basis and an expected revenue contribution to calendar year 2025 of approximately $240 million to $280 million before any impact from tariffs. As a result of recent tariff increases, the company has notified its new customers from the VOXX merger of future price increases that will take effect throughout the balance of calendar year 2025. These price increases may create uncertainty in consumer demand for this year, which could affect the expected revenue contribution from the VOXX merger. The company is also undertaking strategic sourcing decisions that will take place throughout the next six to twelve months, which are designed to significantly reduce tariff expenses on incoming products from the China market. The last few months have been undeniably chaotic as we work to understand the impact that tariffs will have on our supply chain and sales channels. The extent of the impact to revenue for the year depends on how much sales into the China market will be limited by the counter tariffs that are in place for our exports, as well as how much additional cost our OEM customers and consumers will be willing to pay for the additional import tariffs. While the tariffs will create some headwinds for the company, we still believe that the product portfolio and the new technologies in development will provide a strong revenue trajectory over the next five years. In terms of profitability, we have made good strides in our gross margin recovery efforts, and we'll continue to execute the plan as well as additional opportunities that the team has identified to improve the long-term profitability of the business. In the short term, however, as we secure reimbursement for tariffs on imports, the gross margin percentage will be impacted as we add costs and reimbursements that don't include margin dollars. As we move through the year, we will be monitoring revenue closely, adjusting expenses to align to the market conditions. Lastly, the strength of the company's balance sheet puts us in a favorable position to capitalize on the pullback in our share price as we consider higher levels of share repurchases. That completes our prepared comments for today, and we can now proceed to questions.
Operator: Thank you. To ask a question, you need to press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. Please standby while we compile the Q&A roster. One moment for our first question. Our first question will come from the line of Luke Junk from Baird. Your line is open.
Luke Junk: Good morning, everyone. I want to start with the topic of the day, Steve, on tariffs and maybe if you could just walk us through what is contemplated in the current guidance in terms of top-line impacts specifically. I would assume those are mostly production in nature. And then from a margin and a cost standpoint, what's in guidance right now? And, clearly, there's some things out there right now in terms of tariffs on electronics and semiconductors. Have you contemplated any of those things yet, or maybe if you could just comment on what the exposure might look like there as well? Thank you.
Steve Downing: Yeah. So if you look at the I will start with the revenue. If you look at the China revenue that we provided in the press release, so that $50 to $120 million range for the China market, you know, that's down about $100 million versus what our beginning of the year forecast was for the China market before the tariffs. So that one kind of encapsulates I mean, we're really, we are somewhere in the $220 to $240 million range is what we had estimated for China at the beginning of the year. And so pretty significant impact there. Like we mentioned, of that low end, $50 million, $43 million of it's what we already shipped in Q1. So we're basically kind of taking almost a worst-case scenario saying on the low end, it would be as if we really didn't ship anything else the rest of the year. And but on the high end saying it's definitely not going to be what we expected the year to be. On the flip side of that, you look at our primary markets, that overall revenue came down roughly about $100 million, $150 million versus our beginning of the year forecast. Is kind of the that range that you're looking at. And that's really driven by the deterioration in the North American market. I mean, really, Europe and Japan, Korea are struggling too, but the North American market down 11% through the remainder of the year is where most of that impact is happening. A lot of it on the OEC side, definitely some on the FDM side our beginning of the year forecast. On the margin side, really, what we're looking at and the reason why we lowered the margin range for the year by 50 basis points is if you look if you run the numbers on what in anticipated tariffs could look like for the year and you add that cost in, and you add in the reimbursement for it, but then you back calculate your margin profile, it drops at 50 to 100 basis points if we're only getting we're only getting reimbursement and no margin dollars, which is obviously what we expect after going through this you know, few the last few years. We kind of know how these are going to be handled with our OEM customers. And that's kind of our expectation is that they all don't go away. And that they do put about a 50 basis point at least headwind on our overall margin profile. Hopefully, that helped, Luke.
Luke Junk: Okay. And then in terms of the VOXX specific impacts, understand there's a lot of unknowns there right now, but maybe if you could just help us understand the footprint and what you're going to need to navigate is that mostly China related?
Steve Downing: Yeah. Correct. So most of it is imports from China on the supply side. And so, what we're working through right now in the in the VOXX team's done a really good job of this is proactively looking for alternative suppliers you know, globally to help replace the supply chain that is in China market. Obviously, when you look at VOXX, the interesting part is, you know, part of their business is just like ours, you know, automotive requirements, and so that takes a little longer. On the consumer audio side, that's where they have some advantages. They can move quicker because of the ability to be self-sufficient and really your own quality and improvement performance standards are what drives your ability to change locations. And so they have a little more flexibility to move faster on the audio side than what we have on the automotive side.
Luke Junk: Got it. And then lastly, just the, on the updated FDM outlook, Steve Borneo, if you could just walk us through the permutations there, how much of this is Trimix related? Versus just the underlying volumes in North America? Thank you.
Neil Boehm: Yeah. I think for at this point, the majority of that, Luke, is attributed to the volume impact that we're seeing. Especially in the North America, as Steve mentioned, as that's significantly reducing in this last three quarters. From what we saw beginning of the year into where we are today looking forward. That volume reduction has a correlating impact to what we're seeing on the actual FDM potential. We're still seeing growth. I think that's a really important part. Right? Even with all the chaos and with the reductions, we're still seeing some decent growth of up to, let's say, a hundred thousand units, but we do see some pullback a little bit just due to that reduction.
Luke Junk: Got it. I'll leave it there for now. Thank you.
Operator: Excellent. Thanks, Luke. One moment for our next question. Our next question will come from the line of Ryan Brinkman from JPMorgan. Your line is open.
Ryan Brinkman: Great. Thanks for the comments on China. That was my first question, you know, how you think your focused business model may be holding up or how you expect it to hold up in the current environment. On one hand, you import relatively little, but as we see, you're subject to these retaliatory tariffs. So is China the only region where you've experienced that so far? I think maybe there were some tariffs from Canada on parts that were suspended. And I recall in 2017, you had maybe, you know, during the section 301 tariffs, you'd repurposed an existing warehouse in China. Primarily distribution to also include some final assembly. Do you have any flexibility to do anything similar or the tariff rates maybe just prohibitively high in comparison to in 2017 for that to help?
Steve Downing: Yeah. So you're exactly right. Back then, what we had done was worked on a localization plan, meaning that what we are buying locally were plastics, metals, you know, more of the commodity-based products. We are shipping, you know, board and element or especially elements, so the auto-dimming element itself to China. And then our team in Shanghai was actually doing the final assembly to help lower the tariff rates and stay competitive in that market. Unfortunately, given the extreme level that these tariffs are at now, that's not going to be enough to really be competitive or at least temporarily, there may be OEMs who are willing to pay somewhat of a higher pay that higher price temporarily. But if these stay in place longer term, it will have a very severe negative impact on our ability to export out of the US into the China market.
Ryan Brinkman: That's another question I had was the comment about ceasing oil production for the China market. Did I hear that right? Because I think is that because there's inventory in the market that is interchangeable between OEMs and some are canceling, you can repurpose that because I would have thought that for, like, some of the high-end German luxury brands, there would be that elasticity of demand there, for to pay, that for that product. Are some of the customers maybe willing to pay, or what are you saying?
Steve Downing: Yeah. I mean, what we're seeing is some of them are starting to. But at the beginning, or we're working through those agreements right now. What all we're saying at that point with our customers saying, hey, given this new very high level of tariffs, we're not going to put we're not going to put blood, sweat, and tears into turning raw material into finished products. And then have you tell us in a month that you're not going to pay the higher tariff rate. So before we continue to expend resources into producing those parts, we want a confirmation from OEMs before we'll spend that money. And so, you know, we're ready. We have the inventory. We can make them as soon as, customer wants them, but we're not going to continue to build if they're unwilling to pay. On the flip side of that, we do have we once the tariff rate started, we have parts already in transit, and we have parts in our warehouse there. And so we do we did have several weeks of goods already available to them. And give us enough time to reach and hopefully, reach an agreement. And then if we do get those agreements, we're ready to start back production right away.
Ryan Brinkman: Okay. And then just lastly, I'm curious, what you might be hearing or think might happen on May 3. I think we're going to, you know, recut some of the section 232 tariffs and you know, there's been some discussion of being able to net, you know, exports against imports, and I don't know how that works. It's you're you know, importing, you know, different components other than auto components. I'm not sure. But do you think that these tariffs might get better near term? Are you cautiously optimistic on that front? Or
Steve Downing: Well, I think given the extreme levels, especially you I mean, if you talk about the vast majority of this, I mean, the other tariffs, you know, you can work your way through. Really, what we're talking about on the severe impact side is the US-China trade war. And so if you look at those, I think we're cautiously optimistic that it'll be better than what the rates are right now that are being discussed. But one of the challenges it's been is, like you mentioned, there's verbal communication. There's rumors, innuendos. And so one of the things we're very focused on is we can't you can't fight against an aberration. And so we're trying to make sure before we make any permanent decisions, what is actually gone into law, what's happening, and then we'll move based on the finality of those positions. I would say it seems unlikely to me that this continues to be at the rates that they're technically at right now for a long period of time. But you know, months are possible. And so that's where why we're just treading carefully and trying to be in constant communication with our customers about what do they want us to do. So it's not a very threatening position by any stretch. It's saying, hey, we don't want to put you as a customer in a position where we're spending your money unwisely and we're definitely not going to do that with our own resources.
Ryan Brinkman: Very helpful. Thank you.
Steve Downing: Thanks, Ron.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Ron Jewsikow from Guggenheim. Your line is open.
Ron Jewsikow: Yeah. Good morning, and thanks for taking my question. Take care. Yeah. Just a point of clarification on the section 232 tariffs on electronics, the I think the 50 to 100 basis points of margin pressure. Is that in the guide or incremental to the guide just as a point of clarification?
Steve Downing: That's in the guide.
Ron Jewsikow: Okay. And was that impact on the full year or annualized? The 50 to 100?
Steve Downing: That was the impact of 2025.
Ron Jewsikow: Okay. No. That's helpful. Just as we think about the lap over. And I guess just stepping back on kind of the China electrochromics market more broadly, I know there is some local competition, but any sense of what your market share is in China specifically? And I guess is there enough local supply in China to offset whatever mirror shipment volumes you may lose? Or will those products just have to go without ECs?
Steve Downing: There's definitely a lot of knock-off competition in the China market domestically. There's not enough supply right now inside the China market to make up the volumes that we're producing. Especially on the OEC side. And so more than likely, if this continues, you'll probably see a lot of in the China market for those domestic Chinese OEMs. Because the supply base there wouldn't be able to pick up, you know, I mean, we're talking I forget what it is, three and a half million mirrors or so that's you know, going into the outside mirrors that are going into the China market from Gentex Corporation today. So that's where, you know, unfortunately, I think, you know, if this continues the way it's going without any relief on certain components, it's probably a decontenting that'll have to happen inside the China market on our technology.
Ron Jewsikow: Yeah. And I imagine exports of would prefer Gentex Corporation as the mirror supplier. Not to put words in your mouth, but given the
Steve Downing: Yeah. Yeah. We've always done better with JVs or global OEMs. That are doing business in the China market. Definitely higher take rates and better product mix. But we're also selling to domestic Chinese OEMs as well. And the knock-off guys will absolutely be able to pick up some of that volume, but nowhere near these I mean, this is a tremendous amount of capacity you have to have in place to produce that volume of mirrors. And so they won't be able to pick that up in the short run very easily.
Ron Jewsikow: Okay. And then on just VOXX, any kind of guardrails for dilution for this year and for 2026? Or should we still just kind of refer back to the potential cost savings from the initial announcement?
Steve Downing: I mean, if you look at their margin expectations, I think their post-acquisition high twenties gross margin and probably close to breakeven from a net profitability. Pre-tariff, you know, before the conclusion or the consideration of what tariffs they have to consider. So not a from a net profitability or EPS perspective, not really a dilutive impact. I think the plan is in the July call to have better guidance in terms of, you know, side by side, what was Gentex Corporation as a standalone, what is VOXX as a standalone, and then you'll get to see a little more clarity on the impact of VOXX on overall and what that roll-up. So, you know, the plan is to be, you know, pretty full disclosure in terms of the two different operating companies and what each of them mean.
Ron Jewsikow: Okay. No. That's really appreciate the color, and thanks for taking my questions.
Steve Downing: Thanks, Rob.
Operator: Thanks, Rob. One moment for our next question. Our next question comes from the line of Joseph Spak from UBS. Your line is open.
Joseph Spak: Thanks. Good morning, gentlemen. Sorry to do this, but can we just be a little bit clearer on what tariffs are actually assumed for like, are you assuming the $232 electronic and semis tariff go in or not? Like, what about, you know, I know there were some sort of counter tariffs from Europe. And maybe you could just help us understand on a COGS dollar or percentage basis, like, what figure we're talking about here on the potential electronics or semi towers. I know you're saying you're going to pass it through, but I just want to sort better get a better framework around what you really are thinking about here.
Steve Downing: Yeah. So to be clear, yes. We're assuming that, yes, the tariff expenses are in there. And we're assuming right now it's probably going to be it's not going to be the worst-case scenario. It's definitely not going to be a best-case scenario. Kind of what we're modeling is somewhere in that $50 million range, and incremental cost of goods sold for the year, but we'll get reimbursement on those. So if you run an extra $50 million through the top line and through the cost section, why you see the margin pulled back by 50 basis points. On a full-year basis.
Joseph Spak: Okay. And that's on the electronics as if that includes a potential tariff on electronics? That's our import. Yep. That's in our direct imports. Yeah. That's on our direct imports. There's a little bit of there's some nuance there that's much more difficult saying, hey, if someone's a tier three or tier four supplier out of the China market to one of our sub-suppliers, you know, it's that takes a little more time to calculate exactly what your exposure to that as well. But that's kind of what our thumb in the wind is right now for our estimate that we built these financials off of. And the European tariff primarily impacts the customers as well, but that's been also delayed. Right. And that wouldn't hit that won't hit COGS. That's going to be in sale selling expense because it would be either the customer having to pay it or a little bit of our exports, you know, the European market were responsible. But the vast majority of those are the OEM would be on the hook to pay those.
Joseph Spak: Okay. And then just on VOXX, and it sounds like, you know, in response to the prior question, like, we'll get a lot more details in the future. But like, if you look, it's like, it seems like VOXX is running about $35 million a quarter OpEx. Is that about right? And then, you know, how preliminarily are you thinking about, you know, elasticity for some of that VOXX product to potentially having to raise prices. It's you know, I know you're probably still working through it, but think on our side, we have, you know, very little familiarity with that business. So any commentary would be helpful.
Steve Downing: Yeah. I mean, you look at operating expenses, a lot of that has to do with being a public company, things like insurance. And so you have a bunch of synergies that happen right away in the operating side, and we're going through a lot of those things right now, not to mention DNA from previous acquisitions. And so some of that stuff will get cleaned up, is why we're not comfortable to give you a straight-up OpEx number. And then on the revenue side, you're absolutely right. The elasticity of what is a price increase to a consumer product look like. The fortunate part that we have is that many of the competition of the VOXX entity, especially the Premium Audio Group, you know, they're in the same boat. Their supply chain is exactly the same. So you know, it's not like one price increase of a product is not going to be met by a competitive price increase somebody else. So yeah, I mean, that's the thing that is the million-dollar question of what is the price increase due to your ultimate forecast and demand. So you may have increased revenue from the price, but reduced units. So the team, the VOXX team, to their credit, has been going through that already. Really pretty much in advance. So that's why we look forward to giving you that in July.
Joseph Spak: Okay. Maybe I could just sneak one more. And I know you always provide the S&P outlook, but I think you sort of do that as a guide. You historically, I think, have sort of made some of your own internal assumptions, especially for sort of the quarter ahead. Is that still the case? Or given an unusually higher level of uncertainty, are you sort of more relying on what they're saying and, you know, I guess, you know, to the follow-up to that would be is, like, is your assumption that, like, the assumptions they are making on what happens from a tariff perspective in line with your company's thinking?
Steve Downing: Yes. I'd start with you're exactly right. Historically, we've taken that as a kind of starting point. We would have told you that coming into Q1, that we were a little more pessimistic than the S&P, beginning of the year forecast was. Because of tariffs at the time, just in general economically. Since that time, this one's really wild. Right? I mean, it is incredibly difficult. We're kind of using it more as like a guidepost right now anything else just because it's impossible to predict what these economic moves do to overall consumer demand. And pricing. And so, there's not a whole lot of choice. We are probably a hair negative as it relates to the impact that this will have on trim. Packaging going forward. In other words, if these tariffs stick, you know, a lot of vehicles are going to see 20, 30% price increases. And what does that mean for our type of products? Right? Which in essence are consumer discretionary products inside of the automotive market. And so we're probably a little even a little more negative than what S&P is. On their new forecast. Fortunately, though, they did take a pretty strong position on their adjustment into the North American market, which we would have absolutely agreed with question is, is it slightly worse than that even?
Joseph Spak: Yeah. Fair enough. Obviously, a lot of uncertainty, so I just wanted to understand your point of view. But thank you.
Operator: One moment for our next question. Our next question will come from the line of Josh Nichols from B. Riley.
Josh Nichols: Yeah. Thanks for taking my question. Obviously, it's tumultuous times in the automotive space, but good to see the company taking advantage of it on some very significant share buybacks. Just for a little bit of clarity, like, piecing it all together, if you kind of take what you have for the core markets plus a little bit of China and then VOXX, like, it works out. It looks like the $2.4 billion to $2.6 billion of revenue for the year. And once you layer in VOXX on the gross margin front, maybe, you know, a 50 basis point headwind relative to what you guided to excluding VOXX. Is that fair?
Steve Downing: No. I think as a revenue, I think you have it pretty much nailed in on the top line. I think the gross margins would probably be a little more of a headwind once we roll up theirs on top of ours, probably more than the 50, probably more than a hundred to 50, but I'm just I'm shooting from the hip right now. As we're talking.
Josh Nichols: Yep. Appreciate that. And I guess we've talked about this before, but I guess you're taking a pretty conservative stance right, on China at the low end and effectively assumes that what you've already shipped. Right? And there's nothing else really being done in China. I guess, like, we have seen some rollbacks of some of these tariffs or pauses at the very least, and there's it's hard to say because there's no definitive agreement issue. Mentioned. But if there is, you know, a significant alleviation in the tariff rate between the US and China. I would assume that that's not really built into the forecast. Today that you have and that that would be kind of an upside optionality. How should we think about that? Seems like what you have out there right now is kind of more a pretty bare case scenario. Is that accurate?
Steve Downing: Very accurate. I would say we cut we felt like we needed to rip the Band-Aid off because this is technically what the rates are as we stand. So we're trying to do our best to represent we think the financials are under that scenario. And so if like you said, if these push out, and continue to push out or come down significantly, that should provide some upside to this forecast.
Josh Nichols: Perfect. And then just we haven't touched on there's been so much focus on tariffs. But you did mention so you're still growing FDM. Despite all the headwinds there, but also for the driver monitoring solution that's initially being rolled out. Could you talk about the expectations? I know probably not much revenue. Year given everything that's going on, but next year, longer term, you've talked about that being a multi-hundred million dollar a year business over a multiyear time frame. Is it still the expectation? And what are you seeing in the market in terms of interest for that product?
Neil Boehm: Yeah. That's still the expectation is driving that growth. With the launch, this year, we've got two of them coming up late this year into the beginning of '26. That's another one launching in early '26, so that'll be the four that we've been working on and talking about. The launches will take a couple of years as they go across multiple platforms. So when you get through '26 and into '27 and '28, that's where you're starting to hit something that's significantly more material into the numbers that we've talked about before.
Josh Nichols: Appreciate the clarification there, and we are that. I'll hop back in the queue. Thanks.
Steve Downing: Great. Thanks, Josh.
Operator: Thank you. One moment for our next question. Next question comes from the line of Mark Delaney from Goldman Sachs. Your line is open.
Mark Delaney: Yes. Good morning. Thanks very much for taking my questions. You mentioned that you expect to offset the higher costs of tariffs for imports into the US with pricing. Maybe you can help us better understand your confidence in being able to fully offset those higher tariff costs and how far along are you in your negotiations toward that with your auto OEM customers?
Steve Downing: Yeah. We're making really good progress. In fact, several OEMs were very and we've been through this before. Right? So over the last few years, right or wrong, we've developed a little bit of muscle memory as it relates to how to handle these. So this isn't the first time. A couple of years ago, it was more difficult because we hadn't really dealt with this problem before. And so several of the OEMs are being very proactive as reaching out, talking about monthly updates on what we're seeing. Others are going to be a little more challenging, but, you know, our position is that, you know, this is a cost of doing business, and this isn't something that the supply base can afford to eat on its own. This is pretty much a standard response from most of the almost every supplier to OEMs as well. So we feel like the model's there. The messaging's loud and clear. There won't be I'm not saying it's going to be easy or perfect, but I don't think it's going to be as challenging as it was last time. Because our customers understand the fragile nature of the supply base. And the fact that, you know, with these rates, no one can afford to absorb any of this type of, like, level of cost.
Mark Delaney: It's helpful, Steve. Did want to follow-up as well on what you're seeing with industry production. And thanks for all the detail you provided and how you're trying to forecast the core business. Could you talk though about what you're seeing with customer schedules at this point? Are you seeing OEMs adjust their build plans, and is that part of your thought process? And I know you referred to the S&P forecast as the guidepost, and there's a lot of uncertainty, but do you understand what you've seen so far with customer schedules?
Steve Downing: Yeah. I would say, you know, it's interesting. If you look at most of Europe and North America, the schedules have actually been, you know, pretty stable. There's not been a ton of, you know, movement there. Really, most of what we're seeing has been with the China market. And so it's, like we've we kind of proactively stopped. And then within a week or so, a week or two of that is when we start to see, you know, order cancellations or at least pauses and orders sliding out a few weeks. As our Chinese customers try to address what is happening and what their demand is to us. So, fortunately, that was good. I mean, we were able to proactively get in front of it. I mean, what I was most worried about is we build all these products and then we have them sitting on the dock and there's never a delivery date for those. Right? Which would be a worst-case scenario for us. So right now, the customer communication has been really good. I mean, not always the message is good, but at least the dialogue is happening. And so we feel like we're not wasting money right now building products that'll never sell.
Mark Delaney: So just one last one for me, if I could please. You mentioned you saw some deterioration of trim mix in the first quarter, and you imagine that from tariffs because they generally hadn't taken effect yet. Why do you think trim mix was softening in the quarter? Is that something broader macroeconomic trends, just the state of the consumer even before tariffs? Some of market share or what might be behind that in your opinion? Thank you.
Steve Downing: Yeah. That's a great question. I think for us, one of the things we always watch or things like incentives and what's happening with our OEM customers. And, obviously, you know, if you look in the North American market right now, most OEMs are offering some type of incentive package. Right? Rebates, you name it. Free financing. And so for us, that's usually one of the early indicators that OEMs also are going to move into a cost-cutting mode. So, unfortunately, for a lot of our products, especially outside mirrors, a lot of OEMs will look for a way to, you know, cut the cost of a vehicle by removing some content. And hopefully, consumers not noticing it. Passenger side auto-dimming mirrors are one of those classic parts that OEMs will look to remove if they think they can get away with it without the customers getting upset. So we saw a lot of that in Q1, which was obviously disappointing because we put a lot of capital in place to support OEC production levels. And so, it's not an efficient operating environment to say the least.
Mark Delaney: Thank you.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Charlie Sloan from Oak Family Advisors. Your line is open.
Charlie Sloan: Good morning, guys. And, I need to not talk about tariffs but I'm going to try to avoid that conversation. Josh, are you saying then that the chairperson nominee is a woman? Can you believe it?
Josh O'Berski: Yes. I am. Yeah. Thanks for clarifying, Travis.
Charlie Sloan: I was I just wasn't sure of the definition, but okay. That's helpful. And then secondly, you know, in the release, I noticed that there was a change in tone regarding you know, I would have thought that you guys would have talked about, you know, in the past about maybe increasing your line of credit make sure that you have availability. And but this time, it's more about you guys feel pretty secure in your financial position to actually use some of the capital that you've created because of your excellent operating manufacturing capability and buy things that are really cheap like your own stock. And is that a change in tone that you sense yourself, or is that just a change in board direction or something?
Steve Downing: No. I think it's really the change in tone is really we feel like I mean, understanding the market we're in, we understand some of the pullback in the industry, but we think this is way overdone in terms of our share price. And that's why you see us get a little more aggressive on the share repurchase side. On the line of credit piece, we haven't drawn on it yet because even with finalizing the VOXX acquisition, we're still in a great spot from an overall cash standpoint. We're open drawing on that even if that even if that were to mean share repurchases. So we have an existing line of credit that's already available to us that's more than enough for what we need, and we're definitely in a position to be ready to become more aggressive if the stock continues to linger. At kind of in this range.
Charlie Sloan: Excellent. And then secondly, then on the VOXX acquisition, that closes when?
Steve Downing: It closed now? It closed on April 1.
Charlie Sloan: Okay. April 1. Okay. And then what product are you most excited about as you look forward in terms of material contribution to the revenues, you know, two years in.
Steve Downing: From the VOXX or from in total?
Charlie Sloan: Actually, each.
Steve Downing: From Gentex Corporation, I'll call it old-fashioned Gentex Corporation to the VOXX.
Charlie Sloan: Yep.
Steve Downing: So I'll start with the kind of the core Gentex Corporation. So our primary things that we look at and say are very exciting from a long-term growth standpoint are the driver monitoring systems that Neil was talking about. And then we move into large area devices. Visors, sunroof, side windows, you know, core electrochromic technology, basically replacing a lot of the glass surfaces and substrates that you see in a vehicle today. All very exciting. I would say our new place products or our new line of fire protection devices that are designed to go direct to consumer. It's kind of our first time going direct to consumer with an all-new feature set that no one's seen in the fire protection or security space before. We just launched that now. And longer term, you know, you look at some of our work in the medical space, so the eSight Go, the wearables, for people with centralized vision loss, and then some of the other partnerships that we put in place, starting to expand our capability and, like you mentioned, our manufacturing expertise, in the medical and med tech are very exciting. On the VOXX side, one of the things that we're excited about in there is their biometric technology that they had that we've been working on for a while. And so getting a deeper tech base into the biometric space that we think will be very Some of the automotive electronics are also very interesting. One of them in particular is, VOXX was a supplier for the USPS postal trucks. For vision systems. We believe there's a lot of opportunity to come up with a Gentex Corporation version of that product, which is USG alogy, guaranteeing security and electronic made in the US for that vehicle. And then also the premium audio space. As we talk about our play in home automation with our place product, home audio, we think, is a big part of that that we can help expand kind of a HomeLink brand and what we call our HomeLink smart home solutions brand into the home.
Charlie Sloan: Okay. That's great. I hate to not talk about tariffs, but the business is long as can. Break. Yeah. Right.
Steve Downing: Well, because we don't talk about products. Yeah. There's no way to forecast any of this. I mean, you guys have laid out pretty much a barricade. In our mind. In correct terms. You know? That's you guys can't forecast what the next week's going to be. You have to rely on the law. Right?
Steve Downing: That's correct.
Charlie Sloan: Yeah. So, anyway, great quarter. Keep up the good work. Thank you.
Steve Downing: Thank you, Charlie.
Operator: Thanks, Charlie. One moment for next question. Our next question will come from the line of James Picariello from BNP Paribas. Your line is open.
James Picariello: Hey. Good morning, everybody.
Steve Downing: Morning. Morning.
James Picariello: I've got I'm heading back to the China question real quick. I apologize. You're guiding to the $85 million in sales for the full year. You recorded $43 million in the first quarter. So I just I assume what's baked in is another $42 million in the second quarter before you halt production. My ultimate question is, like, has Gentex Corporation shipped any units to China since the April 11 trigger date? Of the 100% plus tariff? Like do you have tariff costs that you already need to fight for recoveries?
Steve Downing: Yeah. There might have been one shipment that was already kind of in process that happened technically after that date, but we haven't actively shipped anything since then. But remember, we have a warehouse in China and so it has usually anywhere from seven to ten, twelve days of inventory on. And then, usually, there's another week or so of inventory in transit. That's on the surface or in the air, by the time these things go into effect. So that's where we look at and say, hey. We, you know, we know there's some amount of that. That stuff should be able to sell. Easily because it was already in before the date. And then we know there'll be some demand to despite the tariffs even if they stick around at this level where OEMs will need some parts just to get through a few week period until they can have a workaround. And so that's where we come up with that estimate. It's kind of, like we mentioned before, kind of a I would say, it's probably a worst-case scenario.
James Picariello: Yep. Okay. That makes sense. That's pretty that's very clear. And then based on last year's $208 million or so in revenue in China, is there any way to size up just what constituted interior versus exterior mirrors mix and if there were any FDM shipments to the region?
Steve Downing: Yeah. That should have been roughly fifty-fifty, I think. I'm definitely taking a hip shot with that one. But if you look at it, it should have been somewhere in probably a million and a half IECs and probably 3 million or so OEC I think, would be my estimate there. Kevin's I'm looking for further detail to prove I'm wrong, but, that's just kind of a rough breakout. And we can follow-up with you too. If you would like that detail.
James Picariello: The FDM?
Steve Downing: Virtually none. Yeah. Yeah. Yeah.
James Picariello: Alright. Thank you, guys.
Steve Downing: Thanks. Nice, Jim.
Operator: Thanks. Thank you. And this concludes our question and answer session. I will now turn it back over to Josh for any closing remarks.
Josh O'Berski: Thank you, everyone, for your time and attention today and the good questions. Hope everyone has a good weekend.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.